Operator: Good morning. My name is Kayla and I will be your conference operator today. At this time, I would like to welcome everyone to the Valmont Industries, Inc. Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. We ask that you please limit your questions to one question and one follow-up question. If you would like to ask additional questions, we ask that you please reenter the queue. Thank you. I would now like to turn today's conference over to Mr. Jeff Laudin, Manager, Investor Relations. Please go ahead, sir.
Jeffrey S. Laudin - Manager, Investor Relations: Thank you, Kayla. Welcome to the Valmont Industries fourth quarter 2015 earnings conference call. With me today are Mogens Bay, Chairman and Chief Executive Officer; Mark Jaksich, Executive Vice President and Chief Financial Officer; and Tim Francis, Vice President and Corporate Controller. Before we begin, please note that this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of the call. The instructions for accessing a replay of the call can be found in your press release. I would now like to turn the floor over to our Chairman and Chief Executive Officer, Mogens Bay.
Mogens C. Bay - Chairman & Chief Executive Officer: Thank you, Jeff, and good morning, everyone. Thank you for joining us. I trust that you've all read the press release. Before I get into the quarterly discussion, I wanted to remind everyone that we are hosting an Investor Day in New York City a week from today. You will have the opportunity to hear from each of our segment Presidents as they discuss their businesses and we look forward to providing a deeper dive into our company. We hope you can join us in person or via the webcast. There were a lot of moving pieces this quarter as well as some important developments including the portfolio re-segmentation. Before I get into that, let me first provide an update on the restructuring effort we announced last April. Planned initiatives have largely been completed. This along with other cost-reduction actions will total annual savings of about $30 million. Approximately $8 million of the benefit was realized in 2015. And we are looking for the remainder of the cost savings, around $22 million, to occur over the course of this year. Many of the actions taken were focused on footprint rationalization and realignment. We enter 2016 with 14 fewer manufacturing facilities and a reduced global workforce by approximately 7%. While these decisions were not easy to make, they were necessary. The benefit from our restructuring and our focus on operational improvement should position us well to deliver earnings growth this year. During the fourth quarter, we modified our reporting structure to improve transparency into our business portfolio, especially as it related to the collection of businesses in our Engineered Infrastructure Products segment. Going forward, we will report in five segments. The renamed Engineered Support Structures segment will now comprise of our global lighting, traffic and wireless communication poles and towers, along with our highway safety business. This is a large global business with operating income close to 10% despite operating in a very difficult economic environment. The newly-created Energy and Mining segment will comprise access systems, offshore and grinding media. These businesses have mainly been serving the energy and mining industries and are negatively affected by the recent collapse in energy prices and depressed mining activities. Still, we believe they're good long-term businesses to be in. Our tubing business will be folded into our Irrigation segment, reflecting the importance of agriculture to its revenue. The Utility Support Structures and Coatings segments remain unchanged. And finally, there will no longer be an Other segment. We believe this new segment structure will provide you with a better understanding of and visibility into our businesses. Let me now turn to the fourth quarter results by segment, excluding the effects of restructuring impairment and nonrecurring items. In the Engineered Support Structures segment sales declined about 15%. Currencies translation, less intercompany demand from utility and general weak economic conditions contributed to the decline. Positive sales momentum in North America was more than offset by declines in Europe, Middle East and Africa. In Asia-Pacific, we saw some uptick in our wireless communication market in China, but softness in other Asian economies. In the Utility Support Structures segment, the decline in revenue was to a great extent the result of a much lower steel cost, a significant weakness in our Canadian market and a less favorable project mix. Still, we're seeing improvement in the quality of earnings of this segment as a result of their focus on operational excellence. As we have communicated before, we expect the 200 basis point improvement in the quality of earnings in this segment going into 2016. This segment delivered 8.9% of operating income for the year 2015 and we should return to double-digit operating income for 2016. Let me elaborate on the $17 million accrual this quarter in the Utility segment. This accrual is for the anticipated settlement of a commercial dispute with a customer that is a joint venture between two of our biggest customers. This joint venture and its owners have placed orders with Valmont totaling nearly $1 billion over the last number of years. So, they are very, very important to our business. The dispute is over potential warranty issues and connection with a major transmission project. At Valmont, we have complete confidence that we will not have an issue, but to address the concerns of our customer, we would be agreeing to a settlement, including an extensive testing regime, over the next 10 years, as such, we have accrued the expense to cover this. The Coatings segment's performance is a combination of two very different markets. North America continues to show strength with external volume offsetting weaker internal volumes. On the other hand, the Australian Coatings businesses is negative affected by the general economic malaise given depressed mining activity levels and a weakening Australian currency. In the newly-created Energy and Mining segment, we are feeling the full blunt of the collapse in energy prices and result in curtailing of capital expenditures by the world's energy companies. This environment has affected all three business units in this segment, workforce access systems, Donhad grinding media and Valmont SM's offshore energy-related businesses. One positive in this segment is the strong order backlog at Valmont SM for offshore wind turbine structures. Our challenge in this segment will be to find new markets outside energy and mining to leverage our manufacturing and engineering capabilities. Turning to our Irrigation segment, low commodity prices and declining net farm income continue to pressure revenue both in North America and globally. Political challenges and unrest in many parts of the world, combined with a declining value of many local currencies, have added to the headwind. Our Irrigation business, however, continues to manage costs and productivity very well and delivered good earnings quality despite a challenging environment. I will now turn the call over to Mark for more color on our financial performance.
Mark C. Jaksich - Chief Financial Officer & Executive Vice President: Think you, Mogens, and hello everyone. The fourth quarter involved a number of nonrecurring events which I will review before covering specifics on ongoing operations. First, we incurred a total of $26.8 million of intangible asset impairment charges this quarter. In Asia-Pacific galvanizing business unit, you will recall we took a $9.1 million goodwill impairment charge in the third quarter. As required under GAAP, we completed the full revaluation of this reporting unit in the fourth quarter. Because the fair value of the fixed assets in this reporting unit was higher than carrying value, this required a write-down of the remaining goodwill of $7.1 million. In addition, the goodwill associated with our access systems reporting unit was written down by $19.6 million. This business unit has been under significant operating pressure due to market conditions in the mining and energy sectors. In the fourth quarter, oil prices, including the outlook for oil prices going forward, continued to fall dramatically and we reassessed our intermediate-term outlook. Accordingly, we determined that the goodwill was partially impaired and resulted in the write-down. Secondly, we incurred an aggregate of $24 million of pre-tax nonrecurring charges related to the commercial settlement in Utility Support Structures segment that Mogens previously discussed and receivable provision related to a customer in the Irrigation segment. Let me add some color on the bad debt provision on the Irrigation receivable. This receivable is due from a large customer in China with whom we have done tens of millions of dollars of business over the years and we've always been paid promptly. However on the most recent contract with this customer, we received a number of progress payments, but the receivable is past due and we made a partial bad debt provision a couple years ago. In 2015, the customer's economic condition deteriorated further and progress payments were stopped. Accordingly, we determined that a $7 million provision to fully reserve against the receivable was warranted. Despite provisions, we have and will continue to pursue the payment for the amounts owed us. Lastly, $16 million of restructuring charges were incurred in the fourth quarter, largely completing the charges related to the plan announced in April of 2015. Of the charges, $7.9 million was in cash and is related to severance expenses for workforce reduction and the remainder being noncash impairment charges of fixed assets. To recap our restructuring charges, in April 2015, we announced a plan of up to $60 million. Our actual charges totaled $82 million, including $40 million of restructuring and $42 million of intangible asset impairments. Almost all the difference between the planned and actual amounts is the goodwill impairment of the access systems business, which was not part of the initial restructuring effort. With respect to our international operations, we continue to see negative effects on our quarterly comparisons associated with the stronger U.S. dollar. The effect on sales and operating income in the fourth quarter was approximately $44 million and $3.7 million, respectively. The most-significant currency movements affecting us in the quarter were the euro, the Australian dollar and the Brazilian real. Aside from the impairments, restructuring and other nonrecurring charges, operating income was $49.4 million, down 26% from last year and 7.8% of sales. The decrease in operating income was mainly related to sales decreases. Gross profit margins from operations were comparable with 2014 due to lower raw material costs that helped offset lower sales pricing. Operational performance also mitigated the effects of lower volumes on gross profit. On income taxes, we realized tax expense despite a reported loss before taxes. This unusual relationship was caused by two main factors. First, the goodwill impairments mentioned above are not tax-deductible; and two, the UK lowered their corporate tax rate from 20% to 18%. Accordingly, we revalued our net deferred tax assets using the 18% rate, resulting at about $7 million of deferred tax expense. Offsetting these factors were a number of smaller items that favorably affected our tax rate such as R&D credits and tax contingency expirations. So, on a normalized basis, our tax rate for the quarter would have approximated 34%. Operating cash flows for the quarter were strong at nearly $90 million and capital spending was approximately $11 million. For the year, operating cash flows were $272 million, reflecting our ability to remove working capital from the business as a result of lower revenues. Capital spending for the year was $45 million and we expect capital spending to be around $75 million for 2016. And the 2016 capital spending plan includes a galvanizing facility we're in the process of building at our pole manufacturing site in Texas. Regarding other capital deployment activities, we acquired American Galvanizing this quarter for approximately $13 million and repurchased $21 million of our shares under the current reauthorization. We have $179 million remaining under this authorization, which does not have an expiration date. Funding for future purchases of shares will be dependent on available free cash flows. Despite a difficult year, our balance sheet remains strong with appropriate leverage for the cyclical nature of our businesses, while providing room to pursue investments and growth of our core businesses through internal investments and new products or market development or acquisitions. Cash at the end of the quarter was $349 million, the majority of which is outside the United States. We have no borrowings under our $600 million revolving credit agreement at the end of the quarter. We remain fully committed to maintaining investment-grade credit rating. Our cash priorities remain to: first, support our current businesses through working capital and capital spending as needed; two, to acquire companies that strengthen or are closely adjacent to our existing businesses; three, pay dividends at 15% of net earnings over time; and four, repurchase shares. I will now turn the call back over to Mogens.
Mogens C. Bay - Chairman & Chief Executive Officer: Thank you, Mark. 2015 was surely a transformational year for Valmont, as we completed our planned restructuring efforts to strengthen our position amid ongoing end-market softness. As we look ahead, we cannot short term count on an improvement in the global economic environment to support our results. Restructuring benefits and a focus on operational improvement, however, should position us well to deliver improved performance in 2016. We are issuing annual guidance with an outlook calling for earnings improvement of approximately 12% to 15% from 2015's adjusting earnings of $5.63. Additional expectations in forming our current outlook include stable input costs and foreign exchange rates. We expect the first quarter results to be about flat with last year and positive comparisons for the following three quarters. And with that, I'd like to turn it over to the operator and take your questions.
Operator: Your first question comes from the line of Julian Mitchell.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Hi. Thank you.
Mogens C. Bay - Chairman & Chief Executive Officer: Hi, Julian.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Hi. Hello. Just my first question is around the operating profit guidance for 2016. So, you're guiding overall for EPS growth with muted sales. Could you give any color as to the operating margin expansion that's within your guidance this year? And also, whether there's any EBIT benefit from mix or input costs in 2016 or if the EBIT improvement is all driven by the incremental cost savings of $22 million?
Mogens C. Bay - Chairman & Chief Executive Officer: The income improvement is driven by; one, the $22 million remaining of the projected benefits of $30 million where $8 million was already achieved in 2015; and of improved productivity and result of our focus on operational excellence. And as I pointed out, a good portion of that improvement we expect to see in Utility business. We're reverting to double-digit operating income for this year.
Julian Mitchell - Credit Suisse Securities (USA) LLC (Broker): Thank you very much. And then my second question is just around pricing conditions, not so much input costs. But what are you seeing in terms of customer pressure or competitive pressure on pricing, particularly in the Irrigation segment and Utility Support Structures?
Mogens C. Bay - Chairman & Chief Executive Officer: Okay. In the Irrigation segment, as you can see, the quality of earnings have been good, which means our Irrigation business has done a good job of managing productivity and pricing. Now, as I've said before, you always have a concern if a market continues to weaken, the pricing can become more of an issue. I think what we've seen in the marketplace, we may have seen some price reduction, but they have, if you will, been funded by lower input costs, particularly steel. So, I would say, so far so good. But as I pointed out before, it is an issue that, in the past, we have seen more pricing pressure in a down market that we are seeing right now. When we go to the Utility side, you will remember that earlier this year, we made a conscious decision to increase our pricing in the bid market. As a result of that, our hit rate dropped quite a bit. But over the next several quarters, we've seen our hit rate increase, which is a good indication that we're getting traction at higher pricing and the market may also be paying attention to that. So, whereas it was maybe a difficult decision to make up at the time, we didn't feel we had any option but to make it, and currently I would say we are getting the business we're planning to get, at better margins than we saw 12 months ago.
Operator: Our next question comes from Craig Bibb.
Craig Bibb - CJS Securities, Inc.: Hi. In the USS segment, what was the steel-only impact on revenue?
Mogens C. Bay - Chairman & Chief Executive Officer: Could you repeat the question? You were not clear when you started asking it?
Craig Bibb - CJS Securities, Inc.: At USS, the decline in revenues that was attributable just to steel was approximately...?
Mogens C. Bay - Chairman & Chief Executive Officer: What I would say, in general, you would say that steel cost is about 50% of sales price. And over the year, steel has dropped about 50%. Now, obviously, there's an average in there somewhere between the zero and 50%, but it has been a significant effect on revenue in Utility.
Craig Bibb - CJS Securities, Inc.: Okay. So, about 25%, in that ballpark?
Mogens C. Bay - Chairman & Chief Executive Officer: That would probably be high. I would say, it'd be a little less than that.
Operator: Our next question comes from Brian Drab.
Brian P. Drab - William Blair & Co. LLC: Hi. Good morning. I was wondering if you could talk a little bit more about that settlement with the large customer. What kind of inspections – or what can you tell us about what kind of inspections will take place and where will they take place? And can you talk a little bit more about what prompted the inspections? Thanks.
Mogens C. Bay - Chairman & Chief Executive Officer: Well, we have an agreement with a customer that we don't provide too much detail on it. But inspection is basically inspection of the line, making sure that everything is a-okay and we have agreed to do that over a 10-year period. As I said, our engineers and our manufacturing people are positive that there is no issue. But when you have a customer that may have a concern and it's a customer that is of the size that I mentioned that they have combined the owners of the joint venture and the joint venture have given us business for about $1 billion over the next number of years, you do what's right to retain the customer relationship.
Brian P. Drab - William Blair & Co. LLC: Understood. Thanks. And could I talk a little bit about the utility market and what are you seeing in terms of pricing, capacity utilization since the end of the third quarter? And can you give us a little bit more confidence around that 200 basis point improvement? Is that going to come mainly from restructuring or is that market-driven as well?
Mogens C. Bay - Chairman & Chief Executive Officer: Well, I think – let's start with the last part of your question, where's that 200 basis points coming from. They're coming partly from the restructuring, partly from productivity improvement and partly from being able to increase our price in the bid market, as I talked about. Our hit rates are up at higher pricing. So, in general, I'd say that I would still say that the utility industry that we participate in, in North America, still has a very aggressive pricing environment. But we have seen, in some instances, lead times moving out, which would indicate that capacity utilization is going up.
Operator: Our next question comes from Nathan Jones.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Mogens C. Bay - Chairman & Chief Executive Officer: Good morning, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Mogens, if I could start on Irrigation segment, we have heard recently that Valmont may have begun to cut pricing a little bit more. You were talking about a minute ago about passing on lower steel costs. Is this something you're doing just passing on lower steel costs to your customers? Are you getting a little bit more aggressive on going after some share in this environment or what's going on with Valmont's pricing in the irrigation market at the moment?
Mogens C. Bay - Chairman & Chief Executive Officer: Well, since we are the largest player in the market, if we start a pricing war, the competitors have no option but to follow. We don't do that. And I think I've also said in the past that we don't believe that market shares in North America move significantly at all. You can have a competitor that may short term decide to buy some market share, but it reverts to where it was. So, therefore, trying to gain market share because you can is usually – it's not a very good use of your financial capabilities and it will hurt your earnings over time. So, we are not out trying to lower price in the Irrigation business. Now, you can have project business somewhere in the world or project business in North America that gets more competitive because of the volume involved, but that's no different than we see year in and year out. So, there's no strategy or initiative on our part to lower price in the Irrigation business, because it never works.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: That's very helpful. If I could just get one in on the guidance, I'm having a little bit of trouble getting to your up 12% to 15% on earnings. You've got $20 million – $22 million from restructuring. Some of that's in Utility, so maybe there's another $10 million coming out of productivity and pricing utility. Irrigation looks like it's got to be down $5 million to $10 million, I think maybe the big wildcard here is the Energy and Mining segment. You were pretty much breakeven in the fourth quarter, but by the looks of the income in the Other segment for the remaining quarters in the year, profitability in that segment had been declining as the year went on, there's no real, I think, idea that you're going to see a rebound in 2016 in that market. So, you're maybe down $20 million there, ESS flat, maybe Coatings flat outside of that, gets me to maybe you're up mid-single digits on the earnings side. What is it that's going into your guidance here that gets you to that 12% to 15% earnings growth?
Mogens C. Bay - Chairman & Chief Executive Officer: Well, first of all, we probably surely have more insights into what we expect in these business unit than you would have on the outside. And I would say that it's simply going through business unit by business unit effect of the restructuring, effect of the productivity improvements, effect on supply chain efficiencies, effect of a whole bunch of activities we have taken to lower our costs. It is not dependent on a better market position. I would say – I would agree with you that energy, if anything, may be weaker this year than it was last year, because it didn't start out as weak as it ended up. The Irrigation business, we expect some downturn in revenue, but we expect to hold on to quality of earnings. In the Utility business, it is – as I have said before, that is driven by both restructuring and productivity improvements and better pricing in the bid market as it relates to the business that we are taking. And in the Coatings businesses, I think that in Australia we have probably bottomed out in what we see there and we will continue – we expect to see some improvement in North America. When it comes to the pole businesses, it is kind of eking out improvements in a difficult market everywhere. As I said in the either press release or in the talker, North American commercial lighting sales improved last year and we expect to continue to see some improvement in that part of the business. As the year progresses, we may see some benefit from the Highway Bill. And so, it's a combination of a whole bunch of inputs that gives us confidence in giving the guidance of 12% to 15% with a proviso that it is – that markets remain not buoyant, that currency exchange rates don't change a lot, and then we're going to see some benefit, not a lot, from having fewer shares outstanding on average in 2016 compared to 2015. So, we are okay with the guidance.
Operator: Our next question comes from Kevin Bennett.
Kevin Bennett - Sterne Agee: Hey there. Good morning, guys.
Mogens C. Bay - Chairman & Chief Executive Officer: Morning.
Kevin Bennett - Sterne Agee: Mogens, I wanted to follow up on your answer and dig in a little bit more on the commercial lighting market in the U.S. I know there's a lot of fears out there that non-res is kind of rolling over. So, was wondering if you could comment on that and maybe put some numbers around what you saw last year and what you may expect going forward.
Mogens C. Bay - Chairman & Chief Executive Officer: Well, you know we participate in the commercial side of business and in the more highway funded business. And the highway funded business, which is federal and state funded, has continued pretty depressed. Maybe some states have managed to do more of the financing of projects by themselves. But we have seen an improvement this last year in sales to our commercial customers. And going into this year, we are not picking up any indication that there will be a pullback in that part of business. So, these are not big changes. But our overall guidance is made up of a whole bunch of small changes. But the one bright spot in the whole business in North America has been the commercial side of lighting.
Kevin Bennett - Sterne Agee: Got it. Okay. And then my one quick follow-up, I'm wondering if there is – you just did this $30 million restructuring. I'm wondering if there's potential for more in 2016 or if you've kind of cut most of what you can cut without interrupting the business?
Mogens C. Bay - Chairman & Chief Executive Officer: I would say that we're not expecting another restructuring plan in 2016. Does that mean that we're not continuing to find ways to cut costs? No. Examples would be that we are currently going through a major valuation of consolidating back-office activities among our plants in Australia, not only within segments, but also across segments; in other words, centralized accounting, receivable management, payables, treasury functions, HR functions, et cetera, et cetera. These we would not consider restructuring, but it will be part of an ongoing effort to drive our cost to improve profitability.
Operator: Our next question comes from Dave Rose.
David L. Rose - Wedbush Securities, Inc.: Good morning.
Mogens C. Bay - Chairman & Chief Executive Officer: Hey, David.
David L. Rose - Wedbush Securities, Inc.: Just maybe a follow-up on the Utility Support Structure business and in the past it's been a little bit difficult to forecast small versus large shipments. And maybe you can provide us a little bit more color on your visibility in terms of the size of the projects, what you're seeing in and the visibility you have in the near term, next six months versus the next 12 months?
Mogens C. Bay - Chairman & Chief Executive Officer: I would say, in general, and I think we mentioned before, the market has changed from larger projects to a whole bunch of smaller projects. If you go back a few years, the large project would be $50 million and up. Today, a large project is $10 million and up. So, we have many, many more smaller projects that we are getting that's just a couple or a few million dollars. It does put pressure on drafting and engineering and scheduling. But we have pretty good visibility, I would say, over the first two quarters of this year. And I would say, it's no secret that a couple of years ago, we were not very good at forecasting what was going to happen in the Utility business. But I would say that currently over the last number of months, Utility has delivered what they said they were going to deliver. So, they have become much, much better in forecasting. And that's what gives us the confidence that we're going to see 200 basis points improvement in their profitability this year. A lot of it really came from making the decision to raise prices in the bid market and walk away from business at levels that we didn't think were sustainable for us. And as I mentioned, our hit rate dropped quite a bit when we first started that process, but it has been improving ever since. So, we're glad we did it and we're seeing some of the benefits from it. But we don't have the visibility that we had several years ago with very large projects that span several years. That doesn't mean they won't be there. But currently, the way of life of this business is much smaller projects and many more of them.
David L. Rose - Wedbush Securities, Inc.: Okay. That's helpful. And then, maybe lastly, on the Irrigation side, there are some comments from some of the precision irrigation providers, some of the technologies that are being provided in terms of precision ag. Have you seen an increase in demand for that business such as AgSense? (33:25).
Mogens C. Bay - Chairman & Chief Executive Officer: Yes. AgSense continue to grow. Technology is becoming a more and more important part of the Irrigation business and we will spend more time on that at the Investor Day in New York a week from today.
Operator: Our next question comes from Jon Braatz.
Jon Braatz - Kansas City Capital Associates: Good morning, Mogens.
Mogens C. Bay - Chairman & Chief Executive Officer: Hi, Jon.
Jon Braatz - Kansas City Capital Associates: You've taken some impairment charges over the last couple of quarters. And I guess my question is, given the acquisitions that you made and the impairment charges, are you refocusing, reprioritizing, rethinking your acquisition strategy, looking at things a little bit differently, in different markets that might not be as cyclical? Any comments on that, on your acquisition strategy.
Mogens C. Bay - Chairman & Chief Executive Officer: Well, yeah, in general, that would be great. I mean, if we had anticipated the collapse in both mining activities and energy prices, we may have made a different decision then. The good news, though, when we look at those business, and let me take Webforge, as an example, a lot of their business went into those two industries, but the products they made and the capabilities they have are equally useful in general industrial plants and other industries outside mining and energy. So, we just have to refocus where we go after business. The same in Valmont SM, they are energy-related business. You know in the energy business right now it's not like the energy companies around the world dropped their capital spending by 5% or 10%. They basically put a stop on it for a while and we're seeing the impact on that. But yet, on the large structures for wind turbines, we have seen an uptick in Northern Europe in that business. And we have found opportunities outside our traditional markets to look for new opportunities. A good example of that is the I think it's about $10 million utility order that Valmont SM got in Germany for delivery this year that they would not have gotten; one, if they weren't part of Valmont; and two, it was a way for them to leverage manufacturing and project management and engineering capabilities outside their traditional businesses. So, we'll just have to continue to double down on our efforts there. When it comes to acquisitions, in general, our focus will continue to not be on creating EPS accretion, but to beat our cost of capital, and we will be disciplined in that sense. The closer we are to the core markets that we know very well, the closer we are to the geographies we know very well, the less risk we see in those acquisitions. So, as I've said before, people often ask me, well, do you have a goal on how much your international business should be as compared to the North American business? And the answer is no. The more opportunities we can find in North America, in the market we know is the best, the more we're going to go after it. And we may think and we do have very, very limited growth in this country, but when you travel the world, we're the envy of the rest of the world. So, opportunities in this country, I think, will continue to present themselves.
Jon Braatz - Kansas City Capital Associates: Okay. All right. Thank you, Mogens.
Operator: We have a follow-up question from Craig Bibb.
Craig Bibb - CJS Securities, Inc.: Hi. Sorry. Can you hear me this time?
Mogens C. Bay - Chairman & Chief Executive Officer: Yeah. I hear you loud and clear.
Craig Bibb - CJS Securities, Inc.: All right. So, just back to USS, so if you take out steel, it looks like the USS backlog was actually up in tons, is that correct?
Mogens C. Bay - Chairman & Chief Executive Officer: Well, we have said that actually the tonnage going through our plants in 2015 compared to 2014 was down only slightly. And I can't give you a specific answer as to whether tonnage is up in the backlog, but obviously if steel costs have stayed the same, you would have seen a different number in the backlog. So, I would not dispute that it could be that volume in the backlog is actually up, but I can't give you a definitive answer.
Craig Bibb - CJS Securities, Inc.: Okay. And then, also on USS, looks like there's a large number of the HVDC projects that are getting closer to actually happening. Do you guys have – do you have visibility into 2017 on some of these really large projects?
Mogens C. Bay - Chairman & Chief Executive Officer: Well, we do have – when we get our business reviews from utility, they are talking about projects where they see activities both into 2017 and 2018. But the order flow has mainly been smaller projects.
Operator: Our next question comes from Brent Thielman.
Brent Edward Thielman - D. A. Davidson & Co.: Yeah. Good morning.
Mogens C. Bay - Chairman & Chief Executive Officer: Hi, Brent.
Operator: Brent, your line is open.
Brent Edward Thielman - D. A. Davidson & Co.: Yeah. Hey, Mark. Do you have what the overall impact of lower steel prices was on Valmont overall for the quarter in terms of revenue?
Mark C. Jaksich - Chief Financial Officer & Executive Vice President: Yeah. What I would say, Brent, is that, really on the whole, the impact of lower steel prices, if you match that up with effects on sales pricing and mix and things like that, was relatively benign, I would say, on the whole. And I think as Mogens mentioned, in some cases, there has been, like in Irrigation, whatever pricing actions have been taken, have been to some degree giving back to the market some of the lower prices. So I don't think it had a large impact in and of itself on the gross profit.
Brent Edward Thielman - D. A. Davidson & Co.: Got it. Okay. And then on the Energy and Mining segment, obviously, the business is going to probably continue to be tough. But what sort of margins are you targeting over the next 12 months and what can we kind of think about for normalized margin for that business?
Mogens C. Bay - Chairman & Chief Executive Officer: That's a tough one to answer, because the speed with which oil dropped and the speed with which energy companies curtailed their capital spending will translate into more competition, I'm sure, and therefore, more pressure on driving down cost. We expect our Energy and Mining business profitability in 2016 to be about even with 2015 in a tougher environment.
Operator: Our next question – we have a follow-up question from Nathan Jones.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Hi again, guys. Just thinking, again, about the USS business, I recall in early 2014, the canary in the coal mine for some of the downturn in that business was a real compression in the lead times from book to ship. I think you had 90 days of backlog that compressed down to 30 days of backlog or something like that. Can you talk about how that lead time on the backlog is now versus 12 months ago, how that's progressing?
Mogens C. Bay - Chairman & Chief Executive Officer: Without knowing exact information on our competitors' backlog and lead times, the impression we get in the marketplace is that lead times have been moving out, which would be an indication that the combination of taking out capacity that most of the players have accomplished and the market staying pretty flat has driven up capacity utilization. So, lead times moving out is a good indicator that the pricing environment should not get tougher.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Yeah, agreed. That is a nice positive sign. And Mark, are you planning to give us some pro forma information on the quarters under the new segment reporting structure?
Mark C. Jaksich - Chief Financial Officer & Executive Vice President: Yes, Nathan, we will. As we get into the Qs for 2016, all of the 2015 numbers will be recast for comparability. Was that your question?
Operator: Our final question comes from Brian Drab.
Brian P. Drab - William Blair & Co. LLC: Hi. Just wanted to ask a follow-up on the EPS guidance, and Mogens you made a comment that made it sounds like that gain from share repurchase would be only modest in 2016. Given the authorization you have outstanding, if I just run some numbers by you quickly, if you repurchase or reduce the share count by not even 1 million shares, let's call it, 900,000 or 1 million shares, that could get you $0.25 in 2016 and that'd be a full third of your expectation for EPS improvement in 2016. Is that kind of in the ballpark of what you might do or can you give us any thoughts?
Mogens C. Bay - Chairman & Chief Executive Officer: I don't think we are planning on that kind of a plus from share repurchase. I think we're more planning on maybe $0.10, $0.12, $0.13, depending on how the year progresses. Depending on what kind of opportunities may we have to apply capital elsewhere, the share repurchase program can accelerate or decelerate. We don't have an end date. This is an open repurchase authorization. So, I think, as Mark has pointed out several times, we're not going out to borrow money to buy back stock. So, a lot has to do with competing uses of our capital and our ability to continue to generate good cash flows. And we will shed more light on our goals around cash flow generation a week from today when we see you in New York.
Brian P. Drab - William Blair & Co. LLC: Okay. And then, if I could, just quickly, the Irrigation backlog was up nicely year-over-year. I know that's not that meaningful and doesn't extend out even a full quarter, but just a curiosity up, from $53 million to $87 million?
Mogens C. Bay - Chairman & Chief Executive Officer: The increase in backlog is totally international increase in backlog. And international increase in backlog has to do with projects and it comes with lots of challenges on letter of (44:17) credits and so on and so forth. So, I wouldn't put much weight on the increased backlog as it relates to the kind of revenue we may get. If the increased backlog had been all in North America, I would look at it differently, but that's not the case.
Operator: And there are no more questions at this time. I hand the call back over to you, presenters.
Jeffrey S. Laudin - Manager, Investor Relations: Thank you, Kayla. This concludes our call and we thank you for joining us today. The message will be available for playback on the Internet or by phone for the next week. And we look forward to speaking to you again next quarter or next week in New York. At this time, Kayla will read our forward-looking disclosure.